Unidentified Company Representative: Good morning. Delighted to be with you again in person. Looking fit and well. Let's begin. Jean-Christophe LefFvre-Moulenq will be joining us shortly, I hope, before Q&A. Otherwise, will be really bothered to know who's going to ask the first question. So some pictures to begin with on the cover shot. This one, of course, you've all recognized, La Samaritaine. This exceptional transaction of La Samaritaine, 70,000 square meters with, of course, shops, social housing, a nursery, 80 beds, a few offices, and the wonderful Cheval Blanc hotel with 72 rooms. This met with the best energy, acoustic environmental and aesthetic criteria. And the good news that it rallied many companies as a group, be it VINCI Energies or VINCI Construction. It was delivered a few weeks back to Mr. Bernard Arnault. This one is not hugely poetic, but it's really just to illustrate a part of VINCI Autoroutes environment plan. VINCI Autoroutes today has 37% of its light operating vehicles that are virtuous that is to say, electric or hybrid net trialing methods to gradually de-carbonize heavier trucks. Here we're in Manaus in the Amazon, the airport we won the 30 year concession with six or those smaller airports in order to lift the isolation of this very landlocked area. The Amazon is about five times the size of France without planes. It's really difficult to ensure economic development of Manaus, of course passengers, but a lot of freight because as these routes are being opened up and free zones are established, supplied by air with electronic equipment assembled locally before being re-exported in the form of finished products. This is the third largest freight airport in Brazil, a bit like Salvador de Bahia, we plan to roll out across the seven airports all the environmental initiatives that we've been able to deploy at Salvatore de Baya. You'll recall that there we received the award for the greenest airport in its category in Brazil. The next shot, actually it's an artist's view, it's just to symbolize the beginning of the works of the D4 motorway in the Czech Republic. It's the first PPP contract in the Czech Republic over 500 million to build, operate, maintain over 20 years, not just a new Greenfield stretch of 32Ks - hello, Jean-Christophe, he has just arrived - and 16 kilometers of road to be renovated, extended widened, and then it's - we will maintain it for 28 years. The works will be undertaken by VINCI Construction, which in the Czech Republic, builds engineering structures, but also transport infrastructure and it's one of the main builders of transport infrastructure in that country. This project like all infrastructure mobility projects is at a boost for local economy but for us, it will be an opportunity of demonstrating our ability to bring a whole range of environmental solutions such as the reuse of earthworks materials, recycling the agri good materials, water retention, basin preservation of fauna, entering the 28 years of the contract. No phytosanitary will be used. Here we had to continue in Benin where we want to find contract VINCI Energy, probably the biggest deal in its history, close to 300 million Euros, there to meet the energy needs of the people of Benin, but also administrative service facilities of this country. 500 kilometers of high voltage power lines, and 1000 Ks of distribution as well as the connection of several 1000 homes. And then in the contract, there's a transfer of technology through coaching, education of 300 young Benin men supervised by our Moroccan and French teams. Next photograph, we don't really see very much yet. It is the beginning of the extraordinary fix link submerged of 18,000 Ks. [Foreign Language] In 2029, will connect Denmark and Germany, this tunnel. It is extraordinary because we're going to build on land behind the dikes. 89 boxes that are 80 meters wide and then they will be floated, they will be immersed, they will be stuck on the seabed against one another and this will form a tunnel to contain the two rail links and three road links on either side. Needs the structure which will of course develop not just the freight between the two regions in Denmark and the other in Germany to the northeast of Hamburg but also a link which will offer an interesting and virtuous alternative to flights from Hamburg and Copenhagen notably. This is another artist's view of a pretty exceptional property development project at Nice by VINCI Immobilier on a former stadium, Le Ray Stadium and this really illustrates our concept of rebuilding the city on the city in other words, taking advantage a number of operations to restore biodiversity and to green areas, which previously essentially functioned like a stadium. Well, those pictures just to show you that the world is full of projects to collect people territories, improve our lives and the environmental footprint of all human activities. Turning now to our first half in summary form, we can say that the recovery is well and truly here for most of our business, stronger than expected in energy and construction. Was very responsive at VINCI Autoroutes that is traffic picks up very swiftly as soon as restrictions eased across countries and in France for VINCI Autoroutes, it remains very contrasted, more about that in a moment. At VINCI Airports revenue in the first half up 22% versus H1 2020 but as you can see it is already 4% up on the revenue that we achieved H1 '19. So, the crisis has been broadly erased in terms of level of activity. Well, the EBIT is of course suffering from restrictions on road and road travel, but is nevertheless up 1.3 billion versus H1 last year. Three noteworthy points; the order book, which is once again at an all-time high. Free cash flow sharply up, even higher than H1 '19 where you recall the very seasonal nature of a number of our activities weighs on first half cash. That's because we strove to reduce our OpEx and CapEx and to collect our receivables from our customers. Net debt is improved significantly by 3.5 billion or just over that versus June 30 last year and by just over 5.6 billion Euros versus June 30, '19. All our geographies are recovering; Asia, Middle East, notably stable. Important significant progress versus H1 '19 and that's thanks to contracts that were opportunistically signed during the pandemic phase and are beginning to be rolled out in terms of activity. It's notably the case in North America, which as you can see is up 34% versus H1 '19. So, all-in-all, international operations account for 45% of our total revenue, but we're pretty much level with that at VINCI Energies, VINCI construction and VINCI Airports of course. Diving deeper into the businesses VINCI Autoroutes light vehicle traffic is responding as planned to the alternating lifting of restrictions. You can see that HV traffic is a lot more buoyant. We are up 2% there versus the traffic levels that we saw in H1 '19. LV traffic is recovering, up 31.7% but on the half, it remains 16.5% down because of the restrictions. Since early May '21, the lifting of most mobility restrictions, traffic is up significantly, even currently, as we speak, topping the traffic level of 2019 at the same period. Now, this crisis confirmed where that needed, we were convinced maybe that road is a vital infrastructure for national economies for France, in particular. You need to know that nine trips out of 10 or three homework trips out of four are by road and the mobility emits a lot of Co2 so to reaching the COP 21 targets requires reducing carbon emissions of mobility, which requires that OEMs in the automotive sector de-carbonized light vehicles and we hope rabidly heavier vehicles, trucks, using hydrogen-based technology but as infrastructure managers, we must take initiatives to promote this de-carbonization notably by increasing the number of rapid recharge stations along our motorways. Most of our service areas are equipped and in a few months' time, our motorway service areas will all be equipped with e-charging stations because our citizens won't go to the trouble of using e-cars for long distance trips if they're not certain of having recharging stations, which don't take too long and work and ensure smooth flow to their destination. Other important point that VINCI Autoroutes, it's currently developing through it's a Ulys app that you've all downloaded, it's free of charge developing a system that will enable you to locate all the 40,000 public recharge stations. And between now and the end of the year, we'll develop an app to ensure access unlocking and recharge on a number of recharge stations whoever the manager. What's very difficult today when you want to connect to a charge station in the countryside, at least from half from home is to be sure to have the right codes, the right card, the right payment system to be sure that you'll be able to recharge your e-vehicle to continue your trip. So there was a need to provide this additional layer to aggregate the offers of all the recharge stations including that of VINCI Autoroutes, which with VINCI Energy has set up a special unit called Easy Charge that is rolling its recharge stations out across the country. At VINCI Airport, the situation, as you know is, a lot more contrasted. Traffic is returning to its normal levels in a number of geographies. In the US, the Dominican Republic, Costa Rica, traffic levels are still below nominal levels in Europe but here again, we're recording a positive shift in countries such as Portugal, France and Serbia. And traffic remains low at other geographies, London Gatwick, Japan and Cambodia every time for different reasons. But the good news, we're beginning to see pickup in traffic levels at airports such as Gatwick. VINCI Airport team, they were very courageous and continuing to work actively on OpEx and CapEx so that VINCI Airport is practically no longer burning any cash. EBITDA is slightly negative. As you can see on the slide, it's lower than a year ago. That's normal because during H1 20, we benefited from the 2.5 months of normal traffic, even significantly up over the previous year. Next, we won the seven platforms, the airports in the Amazon for 30 years. I'm repeating that because it reveals the fact that planes are irreplaceable in a number of geographies. Air travel is a great driver of economic development. There are areas where planes are vital. The Amazon would not be able to develop its economy without air travel to overcome the geographical difficulties at Manaus as well as all the other airports, we target - plan to achieve net zero before 2050 with PV panel, carbon sinks, labs to track the development of biodiversity and systems allowing us to fully process the waste produced by the airports and aircraft as well as wastewater. Construction order intake very good, slightly down versus last year but you'll recall that last year was a very good year for order intake, we went from 20.7 to 22.8. So with such an order, intake 22.4 versus 22.8 is a very good performance. And you can see on the right hand side of the slide, international development because over half of our new contracts are won in geographies outside France. VINCI Energy benefits fully from its excellent positioning in the marketing front on the three main underlying trends energy efficiency, with plans launched by a number of countries France included with the energy transition and what goes with that which is the development of electric power in the energy mix and the digital revolution, the need to capture store and operate data. Business is up 17% of h1 this year versus h1 last year but growth came in at 12% versus 2019 and all balanced between France and international. But the cherry on the cake is that VINCI Energy is taking full opportunity to improve its EBIT margin on the quarter, which is at 5.9% in 2019 and is now at 6%, still a continuous flow of small M&A deals at VINCI Energy to complete the geographic coverage. The conclusion is VINCI Energy is off to deliver a fine year of top line growth, but also its operating margin. Good half at VINCI Construction. For those of you who may have been absent during the lockdown phase, it's now the combination between Eurovia and the former VINCI Construction. Revenue is good, 27% up over last year. That's normal because last year in particular, in France, we suffered a great deal from the lockdown phases but what's interesting is that we're also up 7% on the half versus H1 2019. International now accounts for about 50% of total business with the ramp up of projects that are under construction such as HS2 in the UK but also in the US, New Zealand, Australia and of course, in France with the Grand Paris Express link and the extension of the e-line to the new headquarters at Nanterre. Six months ago, I'd mentioned not concerns but a question regarding these slow - small and medium size deals, the situation has improved, it's not yet nominal, but the trend is good, small and medium sized deals are returning. That's a sign that we've emerged from the traditional wait and see phase after local government elections in countries such as France. And the French recovery plan is beginning to rise and our offices are pretty busy on contracts that part of the French stimulus package and that should drive our business going forward. Lastly, here again, like at VINCI Energy, EBIT of VINCI Construction is better than an H1 2019. Let me remind you that we'll do better than 1.8% for the simple reason is that EBIT margins in these businesses suffer from the fact that some of the business segments are highly seasonal. So it's normal to have very low or quite low margins during the initial months when certain projects cannot be completed. All that's encouraging and we confirm. Well, we're even slightly improving our guidance, we now expect that VINCI Construction will in full year '21 improve slightly its revenue and its EBIT margin. Let me remind you because the question was put earlier in '19 the combined margin of VINCI Construction of Euro was 3.3%. Lastly, VINCI Immobilier, VINCI Real Estate, back to growth, as you can see the most relevant metric is the number of bookings in terms of housing units was significantly up over last year. That's normal, even we were also up on 2019 and that conceal some M&A win. In the meantime, we incorporated Urbat and we now own 100% of that company. And if you remove the reservations that were marketed by Urbat, you see that reservations like for like pretty much on par with '19, slightly below, but it's better than what we feared a few months back. Let me just add that demand for homes, for housing, social housing units remains sustained, strong in France, and clearly the country is not building enough homes. These needs are high for three reasons; firstly, demographics; secondly, the number - growing number of single parent families; but the third reason, more recent, is that homes built every year only account for 1% of the existing base and we're in a race against time to improve the energy efficiency. We can renovate a number of homes but in many cases there's a need to simply replace and rebuild, pull down and rebuild. So we have to increase the number of projects. France is not building enough homes. We should be building over 500,000 homes a year. This year we're below 400,000. We are accumulating lag which will only worsen the housing crisis. Now the reasons for this situation, of course, well-known, the price of land, the reluctance growing of a number of local authorities to build, and of course it takes longer and longer to get building construction permits, and also the number of appeals that are growing as soon as we want to do something in this country. What's important is the state the government at last realized there's a problem. It was not the case a few months back, there was nothing in the recovery plan about housing. Now they have bitten the bullet and they've asked the Mayor of Dijon to chair a commission that plans to work rapidly so as to produce some measures to unlock these bottlenecks, without which it won't be possible to meet our new housing needs over to Christian.
Christian Labeyrie: Thank you very much. Let's start with revenue. The increase in the first half 2021 versus 2020 is more than 22%, particularly noticeable in VINCI Construction of 27%, VINCI Energy is 17%. So for these two entities, we're looking at revenue higher than what we had before the crisis. We've also got 12% growth, but it depends on airport, 26% for VINCI whereas VINCI Airport is down just slightly. This is due to the fact that traffic at the beginning of 2020 was very good. So on average, we have a drop in traffic, half of the half. Like for like there is little difference 21.7% organic growth because there were some acquisitions, especially at VINCI Energy. You may remember a transaction that we did in Canada, at the end of 2020, that was Transelec that has an impact on the books for 2021. And also the integration of Urbat, which is our new subsidiary for development in Immobilier in the south of France. This was integrated in January after the acquisition of 51% of its capital. And that's about 17 million Euros for the half. ForEx effect is slightly negative due to the depreciation of the US dollar versus the Euro. Versus 2019, we're seeing growth in revenue of 4%, which is entirely due, of course, to VINCI Energy with plus 12% and VINCI Construction plus 7% with real estate. VINCI Autoroutes is still under its 2019 level at 8% and VINCI Airport minus 65%. Regarding geographies, France is bouncing back spectacularly plus 30% versus last year, but you may remember that our business was almost completely stopped for a month or a month and a half in the second quarter during the lockdown. So we're back to roughly 2019 in France whereas the international sphere was less affected but is less up versus 2020 but is up 8% versus 2019 versus total international accounts for 45%. Operating profit, on the next slide 1.6 billion, this is significantly up versus last year, but it still remains lower than what we had in the first half of 2019. That was 2.3 billion. This is due to the weak air traffic and also to a lesser extent a drop in motorway traffic. VINCI Autoroutes contributed 1.2 billion, 49% of overall revenue, that's a significant uptick. VINCI Airport still is losing 250 million versus minus 127 last year. But once again, remember that we had good figures for the first two months of the year, maybe even two and a half months of the year before the lockdown. A reminder that for these businesses, we have fixed cost structures in most situations and there's no real way to absorb the drop in revenue, despite the drastic cost cutting measures that were implemented, especially in VINCI Airport and that continued this year. We're happy to see in this half the contribution for VINCI construction and VINCI Energy respectively, which are back to pre-crisis levels, 428 million Euros for VINCI Energy, 10 basis points up versus 2019. All of the geographies and business lines contributing to that excellent performance and VINCI Construction, so the new look, the new version of VINCI Construction, 213 million Euros, 1.8% of revenue versus 0.5% in 2019. A reminder that margins in the first half are not representative of what we'd expect for an entire year, given the seasonal nature of some of the business lines, such as the road construction business, but we had never seen this kind of figures for the last eight years and for the first half. We've been able to cut the losses for oil and gas and some of the difficult job sites that we still had in construction in the Paris region, either overall nearly over. VINCI Real Estate also has a performance that is up. Breaking down the income statement on the next slide. We still have, unfortunately, negative contribution of the consolidated equivalents companies, due to the losses that we have in that area for some airports that we co-control with some partners, including the Japanese airports. However, we have financial profit that is solid, similar to the previous year. Despite an increase in the cost of debt in the UK, we'll come back to this later, we refinanced Gatwick. And that, of course, costs more because the rates in the UK are higher than what we have in Euros. We've been able to offset that negative effect in one part by some costly loans that came to term and also new debt, including bond debt for more than 10 years, on the 30th of June, which isn't booked yet, but will have an impact soon, and that's in very favorable terms. Something that we've never seen before, our cash is actually a net cost for us. We've paid our bankers for the privilege of them looking after our money and that's a situation that we've never seen in the past and this may lead us in the future to be maybe a little bit less conservative on our cash situation going forward and ACS will help us with that because we have spent some money at the end of the year on that. And increase in the tax burden, significantly up. This is something that we've mentioned in the past. It's due to the fact that profits are up, so when you're making money, it makes sense that you'd pay more tax on it with an average rate grew wide that's about 34%. And then on top of that, we're also seeing a purely accounting effect on deferred taxes, passive taxes in the UK that had to be reassessed due to the fact that from 2023, the tax rate in the UK rather than staying stable, it was increased last year 19% and it's going to go up to 25% in 2023. So we had to recalculate all of our tax expenses, our deferred tax expenses in the UK, 86 million for Gatwick there, half of that attributable to VINCI. And you can see that on the minority interest items, so that's GIP shares on the reassessment of the deferred tax burden. Profit, 682 million, about 900 million if you adjust for one shots, which is a significant improvement versus the losses of last year, although we're not yet back to where we were in 2019, per share 1.19 Euros for profit, 0.53 if you take into account the tax burden, which does not have an effect on cash, once again. The good news or another piece of good news for the half is the cash position. This is on our next slide. Net debt for the group did not significantly increase, 600 million is very low, you know that there's a high seasonal effect, especially for our business size related to construction in the first half. We have less business, therefore we're bringing in less money but the increase of the debt was controlled because EBITDA significantly increased, although not back to pre-2019 levels. And working capital, which is generally a burden for us was - it still is cost but it was better managed this year. We used to be at 1, 1.5 or even 2 billion; here we're at minus 700 million, which is an excellent performance. Especially, as you remember, we took in a lot of money at the end of last year and we were worried that there would be a blowback effect with some customers not wanting to pay but actually that didn't happen. We were able to pay our operators and to maintain income at a good level. Interest in taxes are down versus the previous year because remember you pay at the beginning of the year taxes for the previous year. 2020 was not a particularly high year for tax payments. That means that it's a positive effect, or at least, we paid less related to that at the beginning of 2021 for that item. CapEx is something that you can't really see very well on the slide but they have been significantly reduced for VINCI Airport, especially 200 million. But that is in part offset by the fact that some of our big business lines energy and construction reinvested which made sense, after all of the restrictions that were implemented last year. And as an aside, we are finishing our investment in Nanterre for our new corporate HQ that we will be moving into in October until the end of the year. Few acquisitions across the year, but we're going to be making that up at the end of the year with ACS. Some acquisitions, about 20 or so for VINCI Energy, for the entire year will be about 100 million Euros in extra revenue. And then for dividends, we paid out the dividend for 2020 of 2.04. Next slide is the timeline of VINCI's performance for cash flow generation. The first half of 2021 is actually quite good. If you look at the broader picture, it's in the black, which is always good and also, it's higher than what we had in 2019, but we shouldn't get ahead of ourselves. The first half is always very low compared to what you should expect for an entire year. For example, in 2020, we had 4 billion cash flow and the first half was actually in the negative. So that doesn't explain everything of what we're going to be doing in the second half but it's still good news. The next page is the consolidated balance sheet, not much to say on this. Equity is good. Debt is good, 1.6 billion and capital being invested, especially in concessions, still a strong balance sheet. The next page is a reminder of some of the financial elements. What we were doing in the first half, available cash plus credit lines is down, but not by much versus last year. And in fact, it's higher than what we have on the slide because in the 17.3 billion we didn't include the 750 million in securities for the beginning of the year. So we're back to pretty much where we were last year. We have 3.3 billion less in credit lines this year, because last year, bankers agreed to help us ride out the storm with the crisis with a 3.3 billion temporary credit line that we didn't draw nor renew. And that means we have even more cash than what we had last year. And that's a good thing and a bad thing because now cash is costing us money, but I'm sure we can find a way to spend that or at least to draw it down by about 3 to - 4 to 5 billion with ACS' arrival. Credit ratings were confirmed, we're very happy with that. That wasn't given because we did suffer last year in concessions and VINCI Airports continues to suffer. Despite that, ratings agencies continue to trust us. They included ACS' impact in their models, which makes sense, which does change our industrial profile somewhat. And as I've already mentioned, we refinance to Gatwick to give them a little bit more headroom for their cash position. We don't know how long the crisis is going to last, we don't know how long it's going to take for traffic numbers to get back up in Gatwick, so we wanted to make sure that there was no crunch time for Gatwick or at least a push that back. Any covenants with our lenders have been adjusted and we think that things are going to continue along that trend, if the targets were not achieved. So, no issue for the cash position in Gatwick liquidity because we helped both the operating company and the parent company. Financial policy, we've been able to keep our debt cost stable despite the fact that euro debt, which is the cheapest, which is free, even less - even better than free, is 57% of total, whereas Sterling debt is 29% is expensive. Now we've got dollars and then some more exotic currencies. [indiscernible].
Unidentified Company Representative: So, thank you, Christian. So in closing, what can say for the full year '21 motorways. We've got to two charts on the order routes. The top one is the heavy vehicles, you can see that it's over two years that comparison versus corresponding traffic levels. Back in '19, you see that since June '20 over a year now you have the HV traffic that oscillates around the '19 level and is now above because earlier on one of the slides, you saw that for H1, it's plus 2%. We see no reason why this should not continue because it's the impact of the general economic uptick, growth in the industrial segment that generates a lot of truck traffic and the growth in e-commerce. Barring a pandemic disaster, the heavy vehicle traffic is set to continue that is slightly higher than the level seen in '19. The lower chart must be read very differently, the green line that is important and stopped as it should on the week 30 or 31. You need to compare the green line with the light blue line which is the corresponding line for 2019. You see that for a few weeks now, the green line is nearing closer, even exceeding traffic levels we had at the same period back in '19. You see that we positioned the various phases of major migration for holidays, be it the winter, spring, summer holidays, you know that our Autoroutes networks are particularly sensitive to the summer holiday period and the good news, it corresponds to periods when restrictions are lifted and traffic levels can take off for less affected than others are by winter and spring lines. You see that the green line is well below the blue line for spring holidays but it's better than that situation for spring last year. So it's looking pretty good. In a snapshot, we believe that light vehicle traffic will continue to be slightly above the level of '19 sign. That said, now the crisis is behind us but subject to possible other pandemic episodes. On VINCI Airports now the next slide. Well, you can see what we've said for many times now that it's picking up the recovery. Slope is the same pretty much as what we obtained last year, June, July 2020 but what happened as of end of September, after the summer break? Well, our hopes were dashed by the fact that there were new pandemic waves that stymied our growth. If that doesn't happen this year, well, the traffic growth line could head upwards to return to levels of '19. For contracting, the situation is simple for a simple reason, we've won contracts and we continued to operate during COVID. So we're not that affected by COVID. And the second piece of good news is that we have an order book at an historic level for both VINCI Energy and Construction. We can, on the guidance front, slightly raise our revenue forecasts both for VINCI Energy and VINCI Construction. Business levels should continue to be higher than what we saw in '19 and operating margin should also be higher than the EBIT margin we saw back in '19, which means that all in all, on the back of everything I've said we can't supply you any reliable guidance given the weight of concessions in our income statement and in '21 we will not return to the performance levels achieved in 2019. That's certain, but we can conclude where I started that is the recovery is well and truly here and it is as an expression of confidence that the board which met yesterday decided the payout and an interim dividend of 0.65 Euros per share that ex-date 16 November, payment date 18 November. The group obviously is projecting itself beyond this period. It is galvanized to accompany economic recovery across territories where we operate contracting and construction building on our historic strengths. A long-term business model that is particularly well suited to the current major challenges energy efficiency, the environment transition and new needs in terms of digital technology, mobility, communication, these are challenges over the long-term for which a long-term approach such as our profoundly cultural approach is well-suited. These strengths added to a network of business units very locally rooted, very dynamic that has allowed us to win the seven Amazon airport, the three - the D4 in Czech Republic, or to have won a fifth PPP in Germany, the B247, the acquisition of ACS. As we won't say anything new, we're still in the process of obtaining the many authorizations including anti-trust, we're beginning to get agreement from a number of anti-trust authorities across a number of countries. But in Europe, we're still building the file. You know how it works. Once the file is deemed complete, the Europe administrative departments has five weeks before giving an answer. Before they declare it complete, they receive successive waves for additional information. We are probably at the third wave. How many waves there'll be, it doesn't depend on us. We're in the process. So far, so good but we remain prudent. All that to conclude that we expect to be able to close this deal towards the end of '21, possibly early '22, as we indicated six months ago, and that will allow us the day it is done to be consistent of our strategy to build a global player in the field of engineering, construction, services, maintenance. But as you'll have understood, to develop renewable energy assets, to strengthen the long-term perspective of our businesses, but also to improve our environmental profile growth, obviously, we'll be increasingly green throughout the world. Almost all our projects have a strong green component that's why we were well-inspired to preempted by working on our environmental plan in 2019 and setting out our environmental ambition that I won't recall in early 2020. And our sense is this major challenge of the first half of this century will only be delivered if everyone rallies. We rallied our 270,000 employees through an environment award that was very compelling in its success. We received over 2500 initiatives from all our geographies and businesses, presented by groups of colleagues. Here you have a photograph where you see someone. I think it's me awarding a regional prize that was at Aix-en-Provence at the camp and the idea is that when these prizes are awarded, we'll enter an even more difficult phase, which will involve sharing and disseminating the best initiatives that have a strong environmental and economic impact both through our businesses but also customers and partners. But a word also we must never forget it on our social, civic responsibility that is part and parcel of environmental responsibility. We have a great many initiatives. I won't review them all, but each illustrates our purpose as a humanist company and our ability to rally for a more inclusive and more supportive company we believe that these initiatives must not only be continued but amplified simply because if the attention to the planet is no longer an option, everyone is rallied. We know this because we have operations everywhere connecting communities. The energy transition will require heightened focus on the social components and aiming for global performance. That is something we've conceptualized many years back. Thank you for your attention. We're now available to take your questions.
Q - Unidentified Participant: So not just my questions. Good morning, everyone. So my questions are mainly on VINCI Construction, slide 17. We've got three questions on that topic. First of all, on the figures, 12.2 billion operating profit 213 million, could you give us an idea of former VINCI Construction and former Eurovia and how much they contributed to that? Secondly, on the merger, could we get some information on the merging of the legal, the commercial sites, especially internationally, with some of the big job sites that are former VINCI Construction job sites? Who is taking the lead on the international projects? Furthermore, next question cost management, especially for building construction, we have seen a significant increase in the cost of steel, even if things are coming down now, also an increase in personnel costs and wood costs. How is VINCI managing these increases in prices with a lot of the building contracts being fixed cost contracts?
Unidentified Company Representative: I'm going to let Pierre answer the first part of that question. Just very briefly, I can answer the second part first. Yes, of course, it is an issue, the increases in prices, but it is something that is under control and that should not have any impact on our P&L. We're absorbing the cost for a number of reasons. First of all, for large contracts, yes, we do have indexation of on prices. Now, I can't guarantee that it exactly offset the increases in prices but generally were covered or it's much smaller contracts and the advantage of smaller contracts is that they're over faster, so all we need to do is make it back on the next contract. It's the advantage of our business model is that we're always renewing our contracts. On top of that, we also have the ability for large contracts for which we have advanced payments to set the cost - the price for some building materials at the beginning of the contract and then use that price throughout. And then finally, we do have an increasing number of contracts that are on a cost plus fee base. In that case, the raw material price is passed on to the client. So for the time being, yes, it is cause for concern, but it's fine for the moment and I would like to remind you that also there is availability for materials. You've got some competitors saying they're running out of screws, competitors saying it takes them three weeks to get screws. France forgot to create the companies that make screws and that is all due to the current situation. We're not really being impacted by that kind of effect. And as everyone has seen, the public authorities have handed down instructions so that public project managers and local project managers showed themselves to be adaptable with regards the delivery dates because of the issues for sourcing materials. So for the time being no impact, but we wouldn't like the price of steel to continue to double every month. Just to add to that, buildings are not actually much of the new VINCI Construction business share, maybe 20%. And even within that, we have contracts such as the public contracts that have a variable cost applied to them. But we're able to manage the situation at the time being. For the organization of VINCI Construction that other parts of your question, for the new VINCI Construction as it is, the organization matches the three pillars with our three big business lines. On the one hand, you have the large project organization, from the previous poll within VINCI Construction. The second pillar is the specialty network, Soletanche Freyssinet, mainly from VINCI Construction again. And then finally, the largest pillar is the local network pillar. This applies to France and also abroad. And for this, we organized on a region by region basis with France with VCF and Eurovia. And then split into three regions, the UK, Continental Europe and Africa and then the third region being America, Oceania. So we don't have an organization that's opposing France versus the international region, because on other entities, you will have that split, you do have that specialty pole and all of this is starting to create synergies. By way of proof, we have two big contracts that we got with VINCI Construction, the B247, in Germany with VINCI Construction teams and formerly Eurovia teams and similarly, in Czech Republic, we are heading up the works there. Eurovia is piloting there but we also have former civil engineering VINCI - former VINCI Construction civil engineering team supporting them. And those are the two big examples of the successes we've had so far.
Unidentified Company Representative: Well, we're running out of the reference points. I've got a huge stack of paper next to me and I don't have the detailed information that you're necessarily requesting. But seeing as it's you, revenue for former construction 7.5 billion roughly, 7.5 billion roughly, and Eurovia 4.5 billion, so 12 taken together. What's remarkable in this is that the margin rate is around 2% in construction, which is good for a first half. And even better news, Eurovia 1.4% whereas Eurovia is generally in the negative for the first half as it was in 2019.
Unidentified Participant: First question on the dividend policy, before COVID, you suggested that you may increase the payout ratio, which is traditionally 50%. You've just said that cash flow is starting to cost money. Would you reconsider your dividend policy? First question. Secondly, on airports, I understand that the situation is very different depending on the country, there's still a lot of uncertainty regarding a fourth wave. In your budget, what is your forecast for a return to 2019 air traffic levels? And related to that, for concessions, are you negotiating with states or other parties to renegotiate the concession contract for the airport?
Unidentified Company Representative: I'm going to let Nicolas Notebaert answer of course the question on airports. I can answer the first part of the question, because the answer to the first question is the easiest, which is no. No, we are not giving any particular indication on the way we'll be paying dividends in the coming years because we're still in a transition period. And this is something that needs to be decided on a case by case basis. So we're not giving any particular information on that beyond the fact as I said that we are putting out an interim dividend to show our confidence in the future, but no indications beyond that. There were two questions I believe, three, okay. Okay, Nicola.
Nicolas Notebaert: On traffic numbers, as you heard, the situation is very uneven depending on where you look. We don't have this in budgets, but rather international organizations are looking at when traffic numbers might return to pre-2019 levels. For the first time, in America, we are looking at airports that have got back to 2019 levels, Costa Rica and the five Dominican Republic airports. This is due to American tourism in Costa Rica and also Dominican Republic, American and Canadian traffic. So in these airports, we may be looking at a return to normal levels by 2022, 2023 but in America. If you look at the international forecast for the rest, we are seeing that in some airports a return to 2019 levels, maybe 2024, '26, or even '27. No player knows an exact date for any particular region. In America, we do have some domestic airports in America as well, a return to normal levels was quite fast. Domestic flights in America did bounce back and are now higher than 2019 levels but there are other countries where we're seeing stronger bounce back. Serbia is minus 25%. France, Portugal, similarly are looking at minus 50% at this point. And as we said, Asia is very separate from the other regions as well. So you can't give a single forecast that would explain when everyone gets back to previous levels. Some airports are already there in America and for others, we need to wait on information on lockdowns and we still have a lot of lockdowns, especially in Asia. VFR is almost back to normal. Tourism will return to normal once the lockdowns are lifted. Very long haul flights are likely to be much slower. So that's what we have from the international organizations that are regularly adjusting their targets, looking at 2024, '26. The advantage of not making any forecasts is that we don't need to update our forecasts every other week. It's tantamount to looking at a crystal ball at this point. We don't know when Chinese people are going to be allowed to get out of China and go to Japan and Cambodia. We don't know when the Chinese are going to admit that the Sinovac vaccine is good and that they'll get vaccinated. The latest development is recent. The UK opened on the 19th, last week, and two days ago, they decided to open up to Americans and Europeans who are vaccinated and that wasn't a situation beforehand, whereas the US hasn't yet opened up travel to unvaccinated Europeans. And on renegotiating some concession contracts, final part of the question. Yes, renegotiation, we do have a variety of contracts and each contract is negotiated separately, which leads to an uneven result because contracts are different. As we've said, the Japanese government has decided to contribute 50% and this was back in May to contribute 50% to the renovation works for the Kansai Airport. In Euros, that's about 300 million Euros after the 600 and negotiations are not over with the Japanese government. That's likely to continue after the Olympic games on other elements of the contract. Some governments decided to directly compensate, such as in Brazil and in the US for some motorway concessions in Colombia and Greece as well. We have ongoing negotiations in France for the big regional airports. And then we have all of the furloughing mechanisms that have a positive impact on the countries where that's been made possible in the UK, in France or in Portugal, so ongoing negotiations in many case because the models for a return to normative levels also has an impact on the negotiation.
Unidentified Participant: Okay, thank you. Me again. Could you give us an update on the Grande Prairie project? Any delays? Any impact on you? And what are your priorities for the upcoming tenders?
Unidentified Company Representative: Pierre, do you want to answer that or I could start and then you follow up. We're doing all right. The delays that you may have seen in the press are not related to our own project. We hold some batches of line 14 towards the airport and line 15 that cross over at [indiscernible], and we are on target for those. In fact, it's been quite impressive and it's been commended by the company, the Grande Prairie company. Some information that we haven't given you in the past, this is subject to change because we're not entirely sure of this. But for the Grande Prairie operations and also the extension of Line E of the area with the stations under the CNIT and the rails going towards [indiscernible]. The total revenue currently, for those two big contracts is about 600 million Euros. It's very binary, it's good when we get it but it contributes to 25 billion of the revenue of the new VINCI Construction entity. It's not a large part of those 25 billion, but it is a significant contribution, and we're very happy to see it. So no big issues, although some operational niggles, but no big issues with those big contracts. On the future, yes, we're very interested in the future, although we are going to remain very selective on what tenders we apply for. There's one coming up for the final batch for Line 18 and that links by the airport to Versailles. And then beyond the big civil engineering works that are up for grabs, we also have a lot of equipment contracts, such as tracks, and station renovations. So that's for VINCI Construction. And then we also have maintenance centers and some energy contracts as well. And Arnaud Grison and his teams are fully onboard with those and we've actually been able to get some wins there. We're currently laying the track for Line 14 between Orly airports and Paris, and there are some others still to come and the same is true of the stations. So beyond the current lines, as Mr. Xavier said, we are perfectly on time on the big civil engineering contracts and then that's going to be good for the upcoming civil engineering batches and also some other tenders for equipment for this beautiful infrastructure asset. Did you want to follow up?
Unidentified Company Representative: What I just wanted to say that VINCI Energy is indeed involved, interested but selective in what we follow. We're going to be following the situation with a lot of interest, but we're going to be conservative to not over-rev the engine so to speak. We've got some things coming up for Line 15, for example, that we are looking at alongside VINCI Construction, we've partnered on those. Yes, because you know that the Grande Prairie Express batches, the big batches that are coming up are going to be launched with a design construction approach. It's good because it means that they leverage the creativity and the design potential of big players such as us, but also it means that we bear more responsibility in the project. We need to make sure that the cost benefit analysis is good for us between the project manager and ourselves, for example for the underground works. So things are going well. It really is impressive, it's a shame we can't go there. Well the board - the management board on Monday visited the station where Line 14 and 15 cross. It's in [indiscernible] in Paris. It's a huge hole that you could fit the Colosseum in, it's that big. It's huge. It's 50 meters deep, 100 meters wide. And when you look down the hole, we went down, you see these two concrete frame structures that are for Line 14 and 15 and they're stacked with 10 meters in between the two. And then you've got an entire system so that passengers can move from one line to the other or get up to ground level, with places for retail shops and everything else, gets colossal. But also what is colossal is that big station under the CNIT in Paris. We were able to keep the CNIT open whilst building an underground station under it, it is Cathedral like underground. We started putting the CNIT up on stilts, basically and then we did all of the engineering work underneath and then we laid the CNIT back onto it almost without the people working inside realizing what was going on. So this is the station which is after Porte Maillot on Line E and then the next station will be Nanterre-la-Folie, which is part of our corporate offices that we'll be moving into in the autumn. Thank you. Do we have any further questions in the room? If not, we can move on to phone questions, Jean-Christophe.
Unidentified Participant: A quick question on VINCI Airports. Have the investment budgets been adjusted versus what we were told at the beginning of the year given the difficulties encountered in Gatwick?
Unidentified Company Representative: Which budget?
Unidentified Participant: The CapEx budget and what is the situation in not?
Unidentified Company Representative: As Christian said, its - CapEx is very low across VINCI Airport. The only small exception but that is contractual is the work in Belgrade. I traveled there at the beginning of last week, the partnership is working on Belgrade, but actually traffic numbers are picking up over there. Santiago de Chile is basically finished. So that is not requiring any more investment. And for other concessions such as Gatwick, we have very low CapEx levels, just maybe less than 10 million Euros, which is a historic low. It is the same in Kansai, with the exception of the securing works for typhoons, the typhoon protection, which was 50% financed by the state and the kickoff of the extension works but that's within a non-consolidated scope. So Christy [ph], I don't think that is booked in what we've been showing today. So, very low CapEx for airport?
Unidentified Participant: How about not?
Unidentified Company Representative: We have the current airport, which is picking back up. They're doing better than 50% right now. The best performing airport in France is Toulon at minus 25%, so there are some domestic routes in France that are picking back up. And for other processes, the consultation is ongoing and we don't have any hard figures and we have no real idea of when the transition might occur between the current contract and any other thing organized by the DGAC. Thank you. If there are no further questions, we can move over to the phone questions with French questions for the time being.
Operator: [Operator Instructions] We have a first question. This is Mr. Nabil Ahmed from Barclays. The floor is yours.
Nabil Ahmed: Good morning. Thank you for answering my questions and thank you for taking the time given the context. My first question, could you give us an update on any investment plans or extension plans in France? Any potential contribution from the French government? Secondly, questions on Gatwick, could you provide us with an update on what we're seeing in the press on some consolidations for airline operators in Heathrow? Do you have any plans for the slots that will be freed up? What's the future for Gatwick? Do you think that it might have a more sluggish recovery than others? And could you give us an update on covenants and whether it may require an injection of capital? And my final question is more technical in nature. I can see that EBITDA margins for VINCI Energy are slightly down versus the first half of 2019. I wanted to know whether there was anything to learn from that.
Unidentified Company Representative: Okay, Nabil, Mr. Coppey for relations with authorities. So the question was not on climate but rather on investment plans, the Prime Minister has requested of the transport minister, a draw up of a 1 billion transport plan for that would be part of changes in travel costs. So negotiating 1 billion investment before the deadline which will be April 2022. This would need to be investments in environment and low carbon mobility. The list of potential investments has been drawn up between the concession companies and is currently being debated by prefects region by region. These discussions should end in autumn and then lead to a negotiation phase between public authorities and companies before the process can then continue moving on with the regulatory authorities for transport and then the Conseil d'Etat with a landing on the first quarter of 2021. It appears that we have an impact of IFRS 2. The impact was not the same in the first half of 2019 and 2021 because of subscription costs, so related to our employee sharing - saving plan. And then questions on Gatwick. To summarize, there are no operators at the moment that have freed up slots in Gatwick. The rules in fact are changing in Europe and in the UK, until recently slots would be reserved, but from the winter onwards, companies are going to have to actually use the allocated slots if they want to keep them. We do have usage figures of the slots that are uneven, but without any specific trends. Gatwick, as I said earlier or as you heard earlier, Gatwick is recovering after the end of lockdown on the 19th. Very low traffic figures, I believe, lower than 95 - lower than minus 95%. Now they're back up 10 base points roughly on average. We did a huge amount of work on savings for Gatwick with OpEx that was slashed for Gatwick, basically zero for CapEx as well and we also worked on liquidity as was presented earlier. So the issue of an injection of cash is not an issue over the coming years. And then on the question related to covenants, we'll be looking at it as we always have. We'll be regularly updating on that with the next deadline, the end of 2021. This is part of a normal dialogue around Gatwick between the teams and the financials on covenant. That's what I have for Gatwick.
Nabil Ahmed: Let me just repeat. So if I heard you correctly, it is the employee savings plan?
Unidentified Company Representative: With effects that can vary depending on the rates applicable for any period. This is from the holding company to the pole and that means that VINCI Energy can end up as a holding company. It's kind of internal book keeping, it's not an actual cost.
Operator: We have no further questions in French moving over to English. The first questions in English comes from Siobhan Lynch from Deutsche Bank. Madam, please go ahead.
Siobhan Lynch: Hi, good morning. Thank you very much for taking my questions. I have two, if possible. The first is on the [indiscernible] of construction in H1, which I think as you noted in the presentation was very strong. Can you give us any details on what led to this improvement? Is it the nature of the contract or are there changes you're making in terms of divisional efficiency? And then I guess we note you've raised the guidance for margins for the full year but how far of 2019 level could they go? Could you make 3% EBIT margins in construction this year or more? And then I guess royalties, could we go above the 6% level? And then my second question is on the Autoroutes traffic, I think previously, when you spoke about the summer season, one of the reasons you were cautious on the recovery was because we might see a lot of cross border, international leisure traveled this summer if restrictions are still in place. Now that we're back to, I guess mid-'19 levels, are you seeing the same mix of international traffic, so people going on holiday from Germany or France, or a lot of the recovery are still domestic? Thank you.
Unidentified Company Representative: For VINCI Construction, the new VINCI Construction, we've basically already said everything. We're no longer distinguishing between VINCI Construction, as it was and Eurovia. So the margin for this new entity was 3.3% in 2019, and that is going to improve in 2021. Because it's going to go up in what was Eurovia and also grew up in what was VINCI Construction. There are multiple reasons for this. But for VINCI Construction, this is directly related to the fact that we were being held back by some contracts that ended up not being particularly good in previous years. The good news is that those contracts are now over so they're no longer dragging us down. The second reason is that we were hamstrung by entrepreneurs contracting in oil and gas. You may remember a year or a year and a half ago we decided to separate them in their subsidiaries and then reposition them within, for example, the big account department in VINCI Construction and we're very happy with how that worked. And it has increased the profitability of that former part of VINCI Construction. And just on the first part of what you said, this is related to VCF, VINCI Construction France, they'd been suffering from some bad contracts over the last years, as Mr. Xavier mentioned. And then the large account department and everything is back in order there. The other polls are contributing positively in the UK, internationally, Africa, Soletanche Freyssinet, etc. Everything is good, everything looks good. Everyone is contributing positively. I'm not sure I fully understood your second question, I heard 6% there, I'm assuming you meant VINCI Energy. You've seen that the operating margin for VINCI Energy in the first half was at 6% versus 5.9% in the first half of 2019, so it would be surprising if VINCI Energy were not able to put in more than 6% operating margin for the full year 2021. Finally, motorway traffic and foreigners, Pierre.
Unidentified Company Representative: Two things to say on that VINCI Autoroutes is not very exposed to German traffic. Secondly, border restrictions in Italy and Spain have been lifted. And we are seeing a bounce back of traffic, although we're not able to measure it at this point. And it heavily relies on the situation with local lockdown measures. Not that long ago we did have those Italian and Spanish board just completely closed but now they're open at least.
Operator: The next question comes from Gregor Kuglitsch from UBS. Sir, please go ahead.
Gregor Kuglitsch: Hi, I thank you for taking my questions. A few please. So just back on the margin, maybe it's too early to get a specific target for this year but the new construction business, what's your vision for the sort of stable or long-term margin addition for that new segment? It is around 4%, is that we should be thinking about? The second question is on working capital and cash, which was quite good considering the inflow last year, so any comments that you could share on that would be helpful? And then finally, I believe yesterday or at least maybe it was yesterday, but anyways, finally, Schiphol supposedly has declared that it wants to exit its stake in ADP. So I want to understand whether you'd be interested in acquiring that stake or whether it's too early to judge or whether you've lost interest in the assets? Thank you.
Unidentified Company Representative: Okay, let me start by the last part, that's not something that I've heard. You know that there are some complex relations between Schiphol and ADP because ADP owns a stake in ADP and vice versa. And I think that they regularly - okay, so the positions are still there. The agreement will come to term, whether they will renew it or renegotiate it to disentangle themselves, we don't know. And then the follow up question on whether we would be interested in buying a stake in Schiphol, we'll see when that comes up, but I can't imagine that we might be interested in being in that alongside the Dutch public authorities. For working capital, I'm going to let Christian answer that because he's going to give you a perfect answer on that, I'm sure.
Christian Labeyrie: Margins for VINCI Construction, I imagine that your question is on what we would consider a sustainable long-term margin. We've always believed that in former VINCI Construction and former Eurovia, we've been able to prove through difficult times over the last years that we've been able to put in 5% - 4.5% to 5% operating margin. It takes time, but the trend is good. We've been able to improve our operating margins in 2021 versus 2019, as I already said, and we're going to continue to help free up that margin so that things can move back towards - between 4% to 5% for the new entity. On working capital, there's not much to say, we are back to normal this year with negative variation of working capital requirement of minus 800 million, which is less than what we had in the past but it's worse than what we had last year, which was exceptional because we had an increase, an improvement of working capital in the first half but we spend less and also, we used the lockdown as an opportunity to follow up invoices. The gap is 1.2 billion but, remember, the minus 800 million is an excellent performance for a first half working capital. We also increased our provisions by 100 million or so which shows that we're being conservative in the way we externalize our results for the first half. So these are good signs but once again, it's all about the second half of the year and in fact the final weeks of the second half of the year, so let's wait before we celebrate.
Gregor Kuglitsch: The question [indiscernible] increase your stay in ADP and not in Schiphol?
Unidentified Company Representative: Are we going to give 8% to Schiphol? No, it's I think - I'm not sure that 8% are up for sale even. I don't know what you think. No, it's not really an issue at the moment. There's an agreement that was going to end, they've already stated that it is not going to be renewed. And then it's up to each of them to decide what they're going to do with their stake. They said they wanted to disentangle but that's up to them and they haven't yet stated exactly how they're going to do that. It's what we mentioned yesterday, it's still too early and there's nothing on the table at this point.
Operator: We have no further questions.
Unidentified Company Representative: Excellent. So, school's out. So, no conclusion from me other than to say that we are absolutely delighted to be able to see you all again in good health. We truly hope that we are going to be able to present our 2021 full year accounts in a similar environment, maybe with even more people in the audience. And in the meantime, we'd like to wish you an excellent holiday for those of you who are lucky enough to be able to take a holiday. Thank you, everyone.